Operator: Good day everyone, and welcome to the Vivos Therapeutics Second Quarter 2021 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow management’s remarks. This conference call is being recorded and a replay of today’s call will be available on the Investor Relations section of Vivo's website and will remain posted there for the next 30 days. I will now hand the call over to Mr. Edward Loew, Vivos' Investor Relations Officer for introductions and the reading of the safe harbor statement. Please go ahead sir.
Edward Loew: Thank you, operator. Hello, everyone, and welcome to Vivos Therapeutics Second Quarter 2021 Earnings Conference Call. A copy of the company's earnings press release is available on the Investor Relations section of our website at www.vivoslife.com. With us on today's call are Kirk Huntsman, Vivos' Chairman and Chief Executive Officer; and Brad Amman, Chief Financial Officer. Today, we'll review the highlights and financial results for the second quarter 2021 as well as more recent developments. Following these formal remarks, we will be prepared to answer your questions. I would also like to remind everyone that today's call will contain certain forward-looking statements from our management made within the meaning of Section 27A of the Securities Act of 1933, as amended, and Section 21E of the Securities and Exchange Act of 1934, as amended, concerning future events. Words such as may, should, projects, expects, intends, plans, believes, anticipates, hopes, estimates and variations of such words and similar expressions are intended to identify forward-looking statements. These statements involve known and unknown risks and are based upon a number of assumptions and estimates, which are inherently subject to significant uncertainties and contingencies, many of which are beyond the company's control. Actual results, including the results of Vivos' growth strategies, operational plans, future potential results of operations, or operating metrics, and other matters to be addressed by Vivos management in this conference call, may differ materially from those expressed or implied by such forward-looking statements. Factors that could cause actual results to differ materially include, but are not limited to, the risk factors described in other disclosures contained in Vivos' filings with the Securities and Exchange Commission, including our second quarter 2021 10-Q, which is being filed today as well as in our most recent Form 10-K, which can also be accessed on the Vivos Investor Relations website. Except to the extent required by law, Vivos assumes no obligation to update statements as circumstances change. Now at this time, it is my pleasure to introduce, Kirk Huntsman, Chairman and CEO of Vivos. Kirk please go ahead.
Kirk Huntsman: Thanks Ed, and thank you everyone for joining us today on our second quarter 2021 earnings conference call. I'm excited to review our strong quarterly results and provide you with an update on our progress. Afterwards our Chief Financial Officer, Brad Amman will review the highlights of our second quarter financial results. Following that, we'll be happy to take your questions. Our second quarter revenue results were quite strong, well-ahead of our internal forecast and analyst estimates. This is due to the continued recognition and adoption of our Vivos System as a treatment for mild-to-moderate sleep apnea by members of the medical and dental communities as well as the benefits of our accelerated growth actions including a focus on strategic sales and marketing initiatives. We are also beginning to see revenue from beyond our core VIP enrollment revenue and appliances such as the value-added services we offer our VIPs and their patients as well as management revenue from our Medical Integration Division. As we are still relatively new to being a publicly traded company, I'd like to briefly recap our mission and strategy. Vivos is a growing medical technology company. Since the beginning our mission has been to rid the world of obstructive sleep apnea or OSA. To realize our goal Vivos focused on developing and commercializing innovative treatments for adult patients suffering from sleep-disordered breathing including OSA. For those of you not familiar with OSA, it is a chronic illness that impacts nearly one billion people globally and over 54 million in the United States. Over 80% of OSA sufferers are unaware they even have a condition, mostly because getting a proper clinical diagnosis is often confusing and costly especially for children. Because of these challenges a majority of these sufferers remain undiagnosed and untreated. Those that are properly diagnosed are often left with extremely unattractive treatment options. These include having to wear a CPAP machine every night for the rest of their lives or subjecting themselves to costly painful and invasive surgery. At Vivos, we believe we simply have a better way to treat OSA, than the current standard of care. Our highly effective Vivos System treatment is delivered within a comprehensive treatment ecosystem located within, specially trained and equipped dental offices and supported by medical and other health care professionals. Through our growing network of Vivos' trained dentists, we offer an easy-to-use, low-cost screening tests using our VivoScore ring recorder device powered by SleepImage that is dispensed by a dentist or a medical doctor. In our experience, about half of patients tested with VivoScore, will screen positive for OSA. Once diagnosed by a qualified physician, patients receive a complete evaluation workup performed on site by a trusted dentist. From there, they are given a clearly laid out and comprehensive treatment plan, offering them specific treatment options. Due to our efforts to educate health care and dental professionals, many are choosing Vivos' treatment, which the majority of patients complete in just 12 to 24 months. Upon completion, 97% of patients report having achieved their primary treatment objectives and over one in four should see their OSA symptoms completely resolved. In most cases, no further treatment or intervention is required. We have made great progress in spreading the word about the benefits of Vivos' treatment options, through our target audience, the estimated 200,000 general dentists and dental specialists across the US and Canada. As of today, we have trained over 1,250 dentists across North America and internationally in the use and application of the Vivos System. Our dentists are enrolled in our Vivos Integrated Practice or VIP program, which offers training and other value-added services in connection with using the Vivos System. Turning now to the second quarter results. We achieved revenue growth of over 37% on a year-over-year basis and 30% over the first quarter of 2021, although I would like to note, that the year-over-year comparison does reflect the drag on our revenue last year caused by COVID. We are thrilled with these results, which demonstrate the effects of our accelerated growth measures with rising enrollments by new VIP dentists and sequential quarter increases of 25% and 34% for products and services revenue respectively.  Our increased revenues also reflect our emphasis on strategic sales and marketing initiatives, which have been designed to foster further recognition and adoption of the Vivos System by the medical and dental communities. Given our revenue and VIP growth during the second quarter, I think it's clear that these initiatives have positively impacted our performance. In addition, to our top line results, I'm pleased to report that for the second quarter of 2021, we recorded gross profit of approximately $3.6 million a 33% increase compared to gross profit of approximately $2.7 million for the same period in 2020. We also achieved gross margin of 81% up sequentially compared to gross of 78% for the first quarter of 2021, although down slightly year-over-year. We also exceeded 19,000 total cases treated with the Vivos System and we ended the quarter with cash and cash equivalents of $34.2 million as of June 30, 2021. Brad will review our financial results with you in more detail. Needless to say, we are very pleased with these results. In addition to our core business lines, during the quarter, we also began to see strong demand for our new VivoScore diagnostic product and MyoCorrect therapy service. As I mentioned earlier, VivoScore is a home sleep test for both children and adults. Within 24 to 48 hours of testing, patients who test positive receive a telemedicine consult and confirming diagnosis and prescription for treatment from a qualified sleep specialist. Although, we generate some revenue from VivoScore, we mainly view this product as a screening and diagnostic tool to get the dentists and their patients talking about and treating sleep apnea with the Vivos System.  Our other new product MyoCorrect, is a service where trained therapies will provide Vivos' trained dentists access to oral facial myofunctional therapy, also known as OMT, via telemedicine technology. Both of these offerings were launched in the second quarter and I'm happy to report that the initial demand we received for both has exceeded our expectations. Based on this demand we continue to expect these products will represent meaningful upside to our revenue potential, as they build further momentum throughout the remainder of this year. The caveat here is that in Q3 and eventually moving Q4, there are unknown impacts of the surging Delta variant of COVID on dental practices, patient visits and consumer sentiment. In addition to our second quarter results, we have also made strides in other areas. In April, we announced the appointment of Dr. Mimi Guarneri, widely acclaimed as a leading integrative cardiologist, as an independent consultant, serving in the role of Medical Director of Clinical Education. As previously announced, Dr. Guarneri is also one of several physician owners of Vivos' first Pneusomnia Center, which opened in March and is located in Del Mar, California. In addition to her other responsibilities related to Vivos' first Pneusomnia Center, from which Vivos earned management fee revenue, her duties as Medical Director of Clinical Education include the promotion and expansion of Vivos' Medical Integration Division, which was launched in 2020 with the goal of creating strategic alliances between the medical and dental communities, so more medical doctors could work directly with dentists, including dentists who participate in the VIP program for treating sleep disorders in patients. Like VivoScore, we believe this will further the diagnosis and treatment of OSA with the Vivos System. Also, during the quarter, we completed an underwritten follow-on public offering of 4.6 million shares of common stock to support our continued growth. This included the exercise in full of the underwriter's option to purchase additional shares of common stock, for total net proceeds to the company of $25.4 million. Brad will discuss this in more detail later in today's call. Suffice to say, this has considerably strengthened our balance sheet, leaving us well positioned to continue our growth during the remainder of this year and beyond. We have also continued to publish exciting new findings from real-world data. Following the quarter end, in July, we unveiled new data from a patient survey commissioned by Vivos related to the use of the Vivos System. I'm pleased to report that our findings included a 97% Vivos patient satisfaction rate. In addition, study findings showed that over one in four Vivos patients experienced a complete resolution of their OSA from the Vivos treatment. After we initially made that particular announcement, there were some online pundits who suggested that these results weren't all that impressive. We emphatically disagree, as there are -- as we are unaware of any other treatment modality for OSA that can make a similar claim without lifetime intervention or surgery. Moreover, we plan to continue to publish clinical results from ongoing and future studies as they come in and that we believe will continue to confirm the component benefits being realized by Vivos' patients and providers. Our firm belief is that patient clinical successes are the ultimate driver of our business model. The fact that nearly all patients survey reported they had achieved their desired treatment outcome is a powerful statement and is further proof of just how well the Vivos System works. More recently, I'm happy to share that just last week we opened the Vivos Institute International Training Center in Denver Colorado. This 15,000 square foot state-of-the-art facility was established to augment our current highly acclaimed online training programs to offer advanced postgraduate education and training to dentists, dental teams and other health care professionals from around the world in a live hands-on setting. Of course, curricula at the Institute include general courses on sleep and breathing disorders, as well as training in patient screening and understanding sleep tests, various therapeutic protocols and treatment options, medical billing and best practices for in-office systems and integration of the Vivos System. The new training facility can accommodate 300 to 400 medical professionals per day. Here, we will continue to educate health care providers about OSA and Vivos' treatments for OSA within their practice areas, as well as provide dentists training on Vivos-related practice management tools. We are absolutely to establish this institute, which significantly increases our clinical training capacity while also enabling us to leverage the technology that we've built into the center to provide the highest quality training for dentists all across the world. You can learn more about the institute by going to www.thevivosinstitute.com. So in closing, the second quarter was a significant period for us. As the nation began to emerge from what now appears to be the first round of COVID infections and lockdowns, we achieved considerable revenue growth. This is the result of our accelerated growth actions, which we implemented by strategically deploying from our December IPO and May follow-on offerings. These actions not only drove our strong second quarter performance, but have also established a strong foundation for our future growth potential in future quarters. In addition to the substantial uptick in VIP growth in appliance sales, which showcases continued adoption of Vivos System, we have seen strong demand for our new product offerings, including our VivoScore diagnostic product and MyoCorrect therapy services. While these products were only recently launched in Q2, the strong demand we've seen supports our belief that these products represent substantial potential upside to our growth prospects. As we look to the future, working closely with our marketing partner, Osmond Marketing, we are launching aggressive social media and other marketing campaigns along multiple fronts to both providers and consumers. We believe these initiatives will help raise awareness of our brand and the compelling benefits of our treatment for people suffering from OSA. Now that our network of trained clinical dentists is beginning to fill out across the US and Canada, we have begun to reach out directly to a number of dental support organizations or DSOs. According to Morgan Stanley, over 8.3% of practicing dentists in 2019 belonged to DSOs in the United States. And that number is expected to grow to as many as 25% to 30% by 2025. These corporate dental practice operators control thousands of general dentistry and specialty practices throughout North America. We are currently in active discussions with several DSOs and hope to launch pilot programs with them by the end of the third quarter. In addition, we are piloting other initiatives that are intended to make it easier for more dentists to actively screen and refer their patients to VIP dentists. If successful, we will leverage the results to aggressively expand our service offering to a large number of dentists who may not be ready to become fully trained VIPs under our current program. This initiative could open the door for many more dentists to be exposed to Vivos and many more patients to receive the care they need for their OSA. Finally, we are actively engaged in forming additional strategic alliances and commercial relationships with industry partners and major health insurance payers as well as prominent leaders in the medical and dental professions. As those alliances and relationships come about, we will be making further announcements. We are extremely proud of all our accomplishments to date and are even more enthusiastic about our prospects for the future. We look forward to updating you on our progress as we continue to execute on our strategic growth initiatives. This concludes my opening remarks. Now, I'll pass the call on to Brad, who will review our financial results. Brad?
Brad Amman: Thank you, Kirk, and good afternoon, everyone. Today, I'll review our second quarter 2021 financial results. We reported total revenue of approximately $4.5 million for the second quarter of 2021, an increase of 37.5% compared to approximately $3.3 million for the second quarter of 2020. This increase was related to revenue from appliance sales, VIP enrollments, billing intelligence service subscriptions and initial management fees from our Medical Integration division or MID program. Revenue growth in 2021, when compared to 2020 is partially attributable to the negative impact of COVID-19 on our revenue during the second quarter of 2020. During the second quarter, we enrolled 73 VIPs and recognized revenue of approximately $2.4 million compared to 101 VIPs and recognized revenue of approximately of $2.5 million during the same period last year. During the three months ended June 30 2021, we sold 3,082 total oral appliance arches for a total of approximately $1.6 million, an increase from the three months ended June 30th, 2020 where we sold 1,266 total appliance arches for a total of approximately $600,000. The increase in appliance revenue is due to volume increases. For the six months ended June 30th, 2021, revenue increased 23% to more than $7.9 million compared to approximately $6.5 million for the six months ended June 30th, 2020. The increase was attributable to the same factors I mentioned earlier. During the first six months of 2021, we enrolled 126 VIPs for revenue of approximately $4.1 million compared to 133 VIPs and revenue of approximately $4 million for 2020. Additionally, our billing intelligence service revenues increased from approximately $300,000 for the first six months of 2020 compared to $400,000 for the first six months of 2021. During the first six months ended June 30th, 2021, we sold 5,652 oral appliance arch revenue of approximately $2.9 million. And for the six months ended June 30th, 2020, we sold 3,365 total oral appliance arches for revenue of approximately $1.9 million. The increase in appliance revenue is also due to volume increases for the six months ended June 30th, 2021. Gross profit was approximately $3.6 million for the second quarter of 2021 and approximately $6.3 million for the six months ended June 30th, 2021 compared to gross profit of approximately $2.7 million and approximately $5.1 million for comparable periods in 2020. Gross margin for the second quarter decreased slightly on a year-over-year basis to 81% compared to 83% during the last year's quarter. As during the height of the pandemic, many dentists enrolled into our VIP program and revenue shifted to higher-margin service revenue in the second quarter of 2020. Our business continues to be driven by high-margin service revenues including VIP enrollments, billing intelligence service revenues during both the three and six-month periods. Gross margin for both the first six months of 2021 and 2020 remain constant at 79%. Sales and marketing expense increased by approximately $1.2 million to $2.3 million for the six months ended June 30th, 2021 compared to approximately $1.1 million for the first six months ended June 30th, 2020. The increase was primarily due to an increase of approximately $700,000 in sales -- because of sales commissions on increased sales approximately $0.5 million due to new marketing campaigns, updating marketing materials for investors, and VIPs, and promotion of conferences and events taking place through June 30th, 2021. General and administrative expenses were approximately $6.1 million for the second quarter of 2021 and approximately $11.2 million for the six months ended June 30th, 2021 compared to approximately $3.5 million and approximately $7.7 million for the three and six months ended June 30th, 2020 respectively. The year-over-year increase was mainly due to higher expenses related to our increased personnel associated with supporting our sales growth as well as our status as a public company which started in late 2020. We realized these expenses were somewhat higher than what analysts had modeled, which reflects higher than anticipated revenues from our core business as well as the beginnings of revenue from our new products and services including VivoScore diagnostic product and the MyoCorrect therapy services as well as management fee revenue from our Medical Integration Division and sponsorship revenue, which accounted for approximately 1% of Q2 revenue. Net loss was approximately $4 million for the second quarter of 2021 compared to $1.4 million for the second quarter of 2020. The quarter-over-quarter increase was primarily due to higher G&A due to the factors that I mentioned earlier. Net loss for the six months ended June 30th, 2021 was approximately $7.4 million compared to $4 million for the first six months of 2020. Turning now to our balance sheet. In May, we enhanced our liquidity by completing a follow-on public offering of 4.6 million shares of common stock at a public offering price of $6 a share. The offering consisted of four million shares of our common stock as well as an additional 600,000 shares pursuant to the exercise in full of the underwriters' option to purchase additional stock. This generated aggregate net proceeds to the company of approximately $25.4 million. As for the rationale of the raise with greater-than-expected demand, we have seen for our recently launched VivoScore and MyoCorrect products, our management and Board of Directors determined this additional capital could be highly effective at this particular time. Since closing the offering, we have been making targeted investments such as additional sales people to support our growth. As evidenced by our second quarter results, we are already seeing the benefits of deploying this capital and expect to realize accelerated revenue growth through these new revenue streams during 2021 and beyond. At June 30, 2021, our cash and cash equivalents were approximately $34.2 million compared to cash and cash equivalents of approximately $14.1 million at March 31, 2021. With the proceeds from our December IPO and successful follow-on offering in May, we anticipate having ample financial resources to meet our capital requirements, fund our operations and continue executing on our capital strategy for the foreseeable future. Moving forward, we will continue to aggressively expand our presence within the medical and dental communities with our expanded sales force and continuing to introduce and educate health care and dental professionals on the benefits of the Vivos System for their patients. Our recent sales momentum is a strong testament to the increased awareness and adoption of the Vivos System throughout both the dental and larger health care communities. We continue to see strong demand and increased usage of Vivo's products and services both in our core business as well as our recently introduced products and services including VivoScore, MyoCorrect and the Medical Integration Division. We are hopeful that the current trends we are seeing in our business will provide momentum through the balance of 2021 and beyond. At the same time, we will remain prudent with our expenses and management of working capital, maintaining strong expense management practices, while continuing to deploy capital strategically to support continued growth. That concludes our prepared remarks. Now, I would like to turn the call over for questions. Cody, please go ahead.
Operator: Thank you. [Operator Instructions] We'll take our first question from Alex Nowak with Craig-Hallum Capital. Please go ahead.
Alex Nowak: Great. Good afternoon everyone. Appreciate the update there. A lot of good color on the marketing spend. I just want to dig in there a little bit more. So the investments that you're making can you kind of mention how you're allocating it? Is it building out more teams on the sales side, more feet on the street? Is it more around the branding exercise? Is it more around patient and customer reach out there? Just any detail would be helpful.
Kirk Huntsman: Yeah. Great question. So we're approaching this in phases, Alex. So we've got -- the first order of business for us we believe was to establish a network -- a national network throughout the US and Canada for doctors to be able to treat the patients. This means that we had to focus our marketing efforts almost entirely on the professional community, the dental community. And then we began augmenting that last year by introducing the Vivos System to the medical community. So we -- our initial thrust here has been with the professional community. We are beginning to move our emphasis and our spend -- our marketing spend over into a broader more consumer-oriented type of spend. You'll see -- in the months ahead, you'll start to see -- actually in the next few weeks, you'll start to see a greater emphasis on social media. You'll see things that are -- there'll be more consumer-oriented type offerings in terms of media spend. And so we're actually beginning to transition to where we're not we continuing to spend money to attract additional providers, but we're also beginning to generate some brand awareness amongst consumers. So you're seeing us go through a little bit of an evolution here as we sort of find that we've filled out the network to the point where when we do make a market spend on social media, there are doctors available to treat patients who needs to come in. So that's really the way that we're spending our money. That's how we see the go-forward strategy.
Alex Nowak: Yes. No, that's great. And Kirk, you obviously have a lot of experience on the DSO side. So I thought the commentary you had on the call and in the press release is really interesting there. So with the pilot program assuming that's successful, would it basically be like a large amount of VIPs coming on to the platform, if you did sign up one of these DSOs, or how would that look? And what are you thinking about timing in there?
Kirk Huntsman: Well, that's another great question. So, a little background is probably in order here. So, the DSO universe is -- basically there are several major players in the DSO world. These are operators that have hundreds and hundreds of dental offices scattered across multiple states. And then there's a whole new generation of DSO operators that are smaller. They may have anywhere from three to 50 different offices. So the universe is expanding. The DSO space is expanding. One of the unique aspects of this is that there's never been a DSO to our knowledge that has successfully implemented a sleep -- a dental sleep program, and there's many reasons for that. One of the reasons -- one of the major reasons for that is simply that it takes a lot of different kinds of training, capital equipment expenditures, staff training, a whole changeover, a workflow process, and then the medical billing part becomes an obstacle for them as well. So every attempt thus far that I'm aware of in the DSO space has proven to be a very, very pragmatic and that's across the board. What we are going to them with is a radically different program that's made possible by our VivoScore devices. So what we're doing is we're going to the DSOs with a different type of new proposition. We're not asking them to spend hundreds of thousands of dollars per practice on training and capital expenditures. We're not asking them to upset their whole workflow process throughout their general dentistry or specialty practice. What we're doing is we're leading with the tip of our spear, which is VivoScore product in a program that takes and ask them to go and introduce this into their hygiene programs, where their patients are cycling through hygiene and the hygienists are screening and offering the VivoScore screening device as a means of getting a baseline for the patients in the practice. So, all patients of these practices are being screened for obstructive sleep apnea using our VivoScore product. Those -- and about 50% of those we know will test positive. So once they test positive, we introduced our new partner, which is Empower Sleep. And the physicians there will do a confirming diagnosis a telemedicine visit as needed, and will write the script for the doctors to then go ahead with treatment. So what we're now doing is we're building out this ecosystem where the patients have the ability from the DSOs, the patients can be sourced from the DSOs. The DSOs will screen and refer to a local VIP office. So that -- and what that does is, it eliminates the need for the DSO to have to be a full-on all-in got to train a bunch of specialty people in my DSO now to handle this program. It's an easy way for the DSOs to do this. And so nobody has ever come to the DSOs with a program like this that can really work. And one of the things that we've noted in our modeling that the DSOs really like DSO valuations are driven by EBITDA. And so to add 3%, 4%, 5%, 6% to EBITDA. Obviously, when they go through the recapitalization process and they get their valuations, the higher their practice level EBITDA the more at a 10 to 12 multiple valuation, they get for their overall operation. So for the DSOs, this is a very compelling set of economics and it's very easy. There's no CapEx. Vivos drives the program. Vivos supplies the rings. Vivos trains their staff, if the training can be done over a few hours. And so it's a very simple entry point for the DSO. Then later, if the DSO wants to incorporate and add their own specialists to capture further economics out of the program, then they have the upgrade path to be able to easily do that. And so, everything is facilitated by the introduction of our VivoScore program into the DSOs. That's the way that we get there. That's the way we make the program successful. And that's the way we went their appetite with all things Vivos because, these doctors will see their patients getting better under this program and the word will spread very quickly.
Brad Amman: Alex you also asked about -- yes. You also asked about the sales teams. As you recall in Q1, we added our second sales team and now we have three fully operational sales teams on the VIP enrollment.
Alex Nowak: Perfect. All right. I appreciate that. Just last question. Just any update on new studies we should be watching for? The Stanford study, when that should begin enrolling? 
Kirk Huntsman: The Stanford study appears to be mired in some sort of just administrative black hole there at Stanford. We talk to them every week. They've had some turnover on their administrative staff and we're just waiting. We're ready to go. Everything has been agreed to. We're waiting to go to get that started. We're hopeful that that's going to happen at any time. And then, yes, there are other studies that are wrapping up and we'll have some announcements. I don't know when, but we'll have some announcements around that as soon as we get them ready to publish.
Alex Nowak: Okay. Great. Thanks for the update. Appreciate it.
Operator: Thank you. We'll take our next question from Scott Henry with ROTH Capital. 
Scott Henry: Thank you and good afternoon. Just a couple of questions. First on the VivoScore, some great percentage gains in the quarter. Can you tell me what the absolute number of VivoScore put out in the market was during the quarter? And should we think about that as the top of the funnel? And is that a leading indicator that we should track -- to get a sense of traction? Thank you.
Kirk Huntsman: Yes. Great question, Scott. I would say that, the impact of VivoScore deployment in Q2 was fairly minimal. We did start to receive shipments. Although some of those shipments were delayed there appears to be something of a global shortage of various components for manufacturer. And so we were affected by that somewhat in terms of delays of receipt of the equipment. So, we had a deployment throughout Q2. So I would not put a tremendous amount of emphasis on that in Q2. However, we have fully deployed. The latter -- the last couple of weeks of the quarter, we were able to get some out the door. We were able to get some positioned and they started generating a little bit. But we're -- really Q3 is where we're starting to see the more full deployment. Brad, do you want to comment on that at all, or is that...
Brad Amman: Yes, the orders that we've placed include about 4,000 of the VivoScore diagnostic rings.
Scott Henry: Right.
Brad Amman: And so that's really what's out there. And we're using those both for sales as well as for our sales and marketing team to use as demo devices as well with the dentist.
Kirk Huntsman: What we found, one of the most effective ways for us to attract the attention of these doctors is -- yes. Yes. We give them a demo ring. They take the test. They see that they have sleep apnea themselves. And suddenly we have their full attention.
Scott Henry: Okay. Shifting gears. Brad, since I've got you you're adding sales teams. You had a strong 2Q. Should we expect sequential revenue growth in Q3 and Q4 in the second half of the year?
Brad Amman: Well, the rings -- we believe that the rings that we're deploying will help the dentist as a tool and serve as a tool for them with their own patients. The outcome of that is still yet, to be determined but we are seeing a lot of tests come back from those dentists. And next step is for them to -- once they come back and they're tested either negative or positive for OSA, they look at the ones that tested positive and start the Vivos System process them. So we can't really speculate on, how many of those will result in increased revenue quarter-over-quarter at this point yet, but that's the objective. 
Kirk Huntsman: We are seeing -- just to your point there Scott, we are seeing a rather dramatic increase in the number of tests. And as Brad mentioned, the test theoretically should lead. And based upon the pilot testing that we've done, they should lead to an uptick in sales of devices but we are not -- we're not yet far enough along to be able to give you any sort of an idea for, how many of those positive tests will convert into clinical treatment cases. So we're working on that. We should have better visibility on that in Q3 and Q4.
Scott Henry: Okay. That's helpful. And Kirk, you mentioned the MyoCorrect, as being a new revenue driver. Can you talk about the magnitude of revenues that can -- I mean is that a $5 million product at peak, or could it even be more than that in, perhaps a couple of years out? Just trying to get a sense of how to think about that product? 
Kirk Huntsman: The MyoCorrect therapy the -- this is technically called orofacial myofunctional therapy. That therapy we have seen in some of our -- through some of our dental offices and reports from practitioners, we've seen benefits in terms of the duration of treatment being shortened, case acceptance and compliance being higher and also with the quality of the outcomes for these cases being better. So there's lots of clinical benefits to the orofacial myofunctional therapy. What we are doing now in the institute, the Vivos Institute, is we have made the oral myofunctional therapy a centerpiece of the training to go along adjunctively with our standard Vivos System treatment therapy or treatment curriculum. So what's happening is the new generation of graduates, let's say, from the institute are all going to be schooled in the idea that with every Vivo's case they should include the oral facial myofunctional therapy. That has the potential to add about $800 -- between $600 and $800 of additional gross revenue margin to our already existing margins. So for every case that gets the oral myofunctional therapy, there's literally a box that the dentist checks. So if he's submitting a case that he's ready for -- to order appliances, there's a box that he checks that says "I want oral facial therapy -- oral facial my functional therapy. With this case, that box when he checks it, it automatically it adds substantially to our revenue for each case. So as we go forward, we're going to -- we expect to see a growing number of cases with higher margins for the company because of the presence of orofacial myofunctional therapy. And so we get lots of benefits. We get better clinical outcomes shorter treatment times, better case acceptance and compliance. We also get greater margins per case. All of those things work to the benefit of the company the patients and the providers. 
Scott Henry: Great. Thank you for that comment and Thank you for taking the question.
Kirk Huntsman: You bet.
Operator: That does conclude today's question-and-answer session. I'd like to turn the conference back over to Mr. Huntsman, Chairman and CEO, for closing remarks.
Kirk Huntsman: Thank you, operator. I would like to thank everyone for participation and for joining us on today's call and for your continued interest in Vivos Therapeutics. We look forward to our progress with you in the future. Thank you very much and have a great day. Operator? 
Operator: Thank you. That does conclude today's conference. Thank you for your participation.